Operator: Good morning and welcome to the Sabre Full Year and Fourth Quarter 2020 Earnings Conference Call. My name is Josh and I will be your operator. As a reminder, please note today’s call is being recorded. I will now turn the call over to Vice President of Investor Relations, Kevin Crissey. Please go ahead, sir.
Kevin Crissey: Thanks Josh, and good morning everyone. Thank you for joining us for our full year and fourth quarter 2020 earnings call. This morning we issued an earnings press release, which is available on our website at investors.sabre.com. A slide presentation, which accompanies today’s prepared remarks, is also available during this call on the Sabre Investor Relations web page. A replay of today’s call will be available on our website later this morning. We would like to advise you that our comments contain forward-looking statements that represent our beliefs or expectations about future events, including the duration and effects of COVID-19, industry trends, expected advancements, cost savings and liquidity, among others. All forward-looking statements involve risks and uncertainties that may cause actual results to differ materially from the statements made on today’s conference call. More information on these risks and uncertainties is contained in our earnings release issued this morning and our SEC filings, including our Form 10-Q filed on November 6, 2020 and our 2019 Form 10-K. Throughout today’s call, we will also be presenting certain non-GAAP financial measures. All references during today’s call to EBITDA, operating loss, and EPS have been adjusted to exclude certain items. The most directly comparable GAAP measures and reconciliations for non-GAAP measures are available in the earnings release and other documents posted on our website at investors.sabre.com. Participating with me are, Sean Menke, our Chief Executive Officer, and Doug Barnett, our Chief Financial Officer. Dave Shirk, our President of Travel Solutions, and Scott Wilson, our President of Hospitality Solutions will be available for Q&A after the prepared remarks. With that, I will turn the call over to Sean.
Sean Menke: Thanks, Kevin. Good morning everyone and thank you for joining us today. Before we get into the details of the fourth quarter, I’d like to reflect briefly on what has been an extraordinary year. In light of the COVID-19 pandemic, 2020 presented the greatest challenges ever faced by the travel industry, with global air and hotel bookings down more than we have seen in any prior year.  Against that backdrop, I couldn’t be prouder of how many of my Sabre team members around the world how they responded. They provided exceptional service for our customers and advanced our technology transformation, while managing the personal challenges of the pandemic, including operating in a remote work environment. I thank them sincerely for their dedication.  As the impact of the COVID-19 virus spread, we took quick and decisive actions to improve our financial position. We reduced our go-forward annual costs by approximately $200 million. This represents a five-percent point improvement in EBITDA margin versus 2019, all else equal.  Our cost savings actions include a labor expense reduction of about $175 million per year. We also renegotiated our DXC contract to lower our fixed costs and are consolidating our real estate footprints as we moved to a more flexible, “Work from Anywhere” program.  Finally, we added liquidity, extended our debt maturities and ended the year with a cash balance of $1.5 billion. Despite the challenges that 2020 presented, the year also included major advancements in our technology transformation and modernization. We migrated over 250 applications to the cloud and reduced our legacy technology infrastructure.  We announced our strategic Google partnership, built our air shopping environment in Google Cloud and executed on the innovation framework we have in place with the announcement of Sabre Travel AI. We are confidently moving ahead with our technology transformation journey and expect the move to Google Cloud plus our renegotiated DXC contract to reduce our operating cost by more than $100 million per year starting in 2024.  Inclusive of our labor reduction, this results in expectations for total cost savings of $275 million starting in 2024, representing a seven-percentage point improvement in EBITDA margin versus 2019, all else equal. We also signed key commercial wins and renewals in 2020 for our airline and hotel IT and distribution capabilities. We extended distribution agreements with some of our largest airline customers and recently announced important new distribution agreements with Southwest Airlines and Lufthansa Group. We also announced new competitive wins in IT Solutions for reservations and expanded into the low-cost carrier space.  And today, I am pleased to announce we signed two, new enterprise-level hospitality wins with Louvre Hotel Group and All Inclusive by Marriott International. We believe that after the effects of the COVID-19 pandemic recede, we will be ready with a more profitable cost structure, strong customer engagement and innovations that advance the future of travel. Turning to Slide 5, industry air net bookings saw a sequential improvement in the fourth quarter, compared to the third quarter. In October, GDS industry net air bookings were down 81%, November was down 79%, and December down 77%. Every region showed improvement quarter-over-quarter. Latin America led the way with an 18- percentage point sequential improvement. Our largest region, North America, improved eight percentage points quarter-over-quarter. In the month of January, the pace of improvement slowed due to a resurgence in COVID-19 cases, lockdowns, and increased travel restrictions. However, daily average booking trends through mid-February are tracking higher than January results and are back in line with 2020 exit levels. North America specifically is tracking better than January and ahead of booking levels at the end of 2020. On Slide 6, you can see this effect more clearly using weekly data by region. Slight positive trends in North America are reflected, whereas we have seen declines in EMEA and Latin America. The Latin American decline is on the heels of strong recovery through November. On slide 7, we show Sabre volume metrics for air gross bookings, passengers boarded, and hotel gross CRS transactions. You can see the hotel CRS transactions have trended in a positive direction since the beginning of the year.  Turning to Slide 8, hotel transactions are showing pronounced regional differences. This effect started late in the third quarter and has increased. Similar to trends, we have seen in airline bookings, the EMEA region has been hardest hit, but Latin America continues to show steady improvement. Turning to Slide 9, let me give you some insight into how we view the travel recovery. Although we believe it is prudent to plan our business conservatively given the current booking environment, we firmly believe there is pent-up demand for travel. As travelers gain confidence, we expect they will return to the skies.  We saw this play out during the summer last year in the U.S., when booking trends improved as domestic leisure demand picked up. As new COVID-19 cases spiked in the winter, we saw a corresponding decline in travel volumes, albeit not to the same magnitude. With the rate of new COVID-19 beginning to drop again in late January, we have seen bookings recently start to tick back up.  Also as seen during the summer last year in the U.S., hotel bookings were the first to recover. We believe this demonstrates that although some travelers may not be ready yet to board a flight, they are willing to drive to their destinations. We expect further increases in traveler confidence to come from COVID-19 vaccinations and testing. As of last week, roughly 10% of the U.S. population has received at least one dose of COVID-19 vaccine. The US is administering about 1.5 billion shots per day, and at this current pace, it is projected that roughly half of the U.S. population would have received at least one dose by mid-June.  This appears consistent with what we are hearing from some U.S. airline executives, who expect domestic demand may begin to pick up by the second half of 2021. We expect Europe to recover more slowly due to greater fragmentation and tighter travel restrictions. Fortunately, North America is our biggest footprint. In 2019, 55% of our GDS bookings were North America-based and we have renewed deals with our largest customers in the region and recently signed a new distribution agreement with Southwest.  We believe that business travel recovery will be slower than leisure, and when it does, we believe domestic business will precede long-haul international. Our strong relationships with TMCs, and our 80% share of their North American business, should help us be an early beneficiary when business travel resumes. On the IT Solutions side, we have long-term reservations deals with many of the largest North American airlines. Although business travel may be relatively slow to recover, we believe these carriers will do well on the leisure side in the second half of 2021.  In Hospitality Solutions, 45% of our 2019 bookings were North American-based. Therefore, we also expect our Hospitality business to benefit should North America lead the recovery.  Turning to Slide 10, from a commercial standpoint, we also feel well-poised for a travel recovery. We have reached new or extended Distribution agreements with airlines around the world to support their recovery, including notable new GDS agreements with Southwest and Lufthansa Group. As a result, with the exception of Air India, we have successfully completed distribution deals with all of the outstanding significant carriers.  On the IT Solutions side, we have taken steps to secure our book of business and recently signed large reservation renewals with carriers like WestJet and Lion Air, and we feel confident in our current pursuits of new business. This is all capped with new enterprise Central Reservations deals with Louvre Hotel Group and All-Inclusive by Marriott International in Hospitality Solutions. These are data points that support the increased level of activity associated with third-party providers in the Hospitality space. In total, we signed over 2,100 deals in the fourth quarter with airlines, hoteliers, and agencies.  This included key new wins and renewals with some of our largest customers, and depicted by the logos on this slide. As we look at 2021, in spite of the impact of COVID-19, we believe we have a healthy pipeline and ability to capture new opportunities. Turning to Slide 11, I’d like to revisit a slide we first presented last year at this time, before the impact of COVID-19 had fully globalized. We outlined five strategic initiatives that are enabling Sabre to seize opportunities created by emerging travel trends and increased shareholder value. Let me take a few minutes to update you on the commercial activity that demonstrates our progress against these initiatives. First, I’d like to talk about personalized offers. We’ve already started conversations with key customers regarding our Sabre Smart Retail Engine and Dynamic Availability products. The recently announced SabreSonic renewal with WestJet also includes an expansion in our Dynamic Availability, Digital Connect and Intelligence Exchange solutions.  Additionally, we are currently deploying an ancillary dynamic pricing engine using machine learning for Etihad and implemented Intelligence Exchange, ancillaries at check-in and auto check-in with them.  Finally, we are growing share in the revenue optimization space, with recent go-lives at several carriers including JetBlue and Gulf Air. Second, the future of distribution and NDC. Our GDS is attracting new content and functionality with carriers seeking to penetrate the TMC market. In December, we extended and expanded our GDS distribution partnership with Southwest Airlines to a new full participation agreement. We also reached the groundbreaking agreement with Lufthansa Group that not only included their content through traditional GDS connectivity, but also enables content via NDC. This flexible agreement fits a post-pandemic world and shows the progress we have made with NDC.  We achieved IATA Level 4 certification as an NDC aggregator and have four NDC partners now in production. This is all in addition to extending our GDS agreements with some of our largest customers, including American and United Airlines. Third, low-cost carriers. Our acquisition of Radixx has helped us specifically target the fast-growing, low-cost carrier space. In addition to the new LCC reservations customer wins discussed on prior calls, this quarter, we added another competitive win with Air Moldova. We’ve been investing in Radixx to expand its capabilities, including the development of outbound interline and codesharing, and we believe we can continue to expand our sales opportunities with even more competitive offering.  This is particularly important as we navigate through COVID-19, as we expect the Leisure segment to lead the recovery. Fourth, a full-service hotel property management system. This initiative is the one that has been most directly impacted by COVID-19, since our plans to develop a full-service PMS with Accor have been put on hold in response to the pandemic.  However, in addition to addressing the full-service property management needs of hoteliers, we remain focused on growing our CRS business. In 2020, we stayed engaged with several enterprise hotelier pursuits. As mentioned, we have signed not one, but two, new enterprise wins with Louvre Hotels, Europe’s second largest enterprise hotel group, and All-Inclusive by Marriott International.  Together, they represent over 1,600 hotel properties across 54 countries, with the majority coming from Louvre. More hoteliers are turning to Sabre to broaden their distribution and reach with our SynXis CRS and to drive incremental revenue opportunities by delivering personalized offers with our SynXis intelligent retailing capabilities. Finally, our technology transformation. In 2020, as mentioned, we migrated over 250 production applications to the public cloud, eliminated over 2,500 legacy servers, and decommissioned all Sabre-managed datacenters outside of the United States.  We completed mainframe offloads and successfully migrated clients across security, inventory, reservations, ticketing and payment solutions capabilities. This includes our new agency session management and security product that we talked about last year.  We implemented our first Google Cloud Platform development and certification environments in multiple regions across the United States and Europe, including one with incredibly low latency to our current infrastructure in Tulsa, Oklahoma. We also built out development, certification and production environments in the Google Cloud Platform for our air shopping. We have three key tech transformation milestones for 2021. First, we plan to move at least 15% of our mid-range workloads to the Google Cloud Platform. Second, our first production application, Travel Solutions Air Shopping is planned to go live in production in the Google Cloud Platform in the first part of 2021.  We believe running our future air shopping growth on GCP is important in a post-COVID-19 recovery, because of its scalability and cost-efficiency. And third, we expect Hospitality Solutions’ CRS to also go live in production in Google Cloud this year with a global, multi-location footprint. In summary, we believe the progress with our strategic initiatives and our commercial successes position us well for the other side of the current crisis. We strengthened our financial position, which enabled us to continue to make critical technology investments, including our strategic partnership with Google.  We believe we are entering an era of competitive strength with our product and commercial teams working together to create innovative, new products more efficiently. In 2021, we will continue this important work. As the travel environment rebounds, we will be ready. And with that, I’d like to turn the call over to Doug. Doug?
Doug Barnett: Thanks, Sean and good morning, everyone. As expected, the impact of the COVID-19 pandemic significantly and negatively impacted our results in Q4. Revenue was down 67% in the quarter, totaling $314 million, versus $941 million last year. We’ve described how 15% of our revenue, or approximately $150 million per quarter is not tied to travel volumes.  This remains the case, because our net bookings have remained positive and continued to improve versus the second and third quarter, our revenue surpassed this figure and has continued to sequentially improve. Our Distribution bookings were down 79% in the quarter, with air bookings down 80%, and lodging, ground and sea bookings down 79%. Gross air bookings were down 80%, 78%, and 77% in October, November and December, respectively. We report bookings on a net basis, meaning net of cancellations. Net air bookings were down 81%, 80% and 78% in those same months. Consequently, our Distribution revenue in the quarter was down 79% to $131 million. When we report Q1 2021 results next quarter, we plan to provide detail regarding booking trends versus both 2020 and 2019. Our IT Solutions revenues fared better again this quarter, down 40% year-over-year, due to a higher percentage of revenue not tied to travel volumes. Passengers boarded were down 58% in the quarter. Hospitality Solutions revenue was down 42%, with a 40% decline in CRS transactions.  Because our property mix, particularly in the enterprise segment, is less dependent on city centers and conference venues, we have seen relative outperformance in our Central Reservation System Transactions versus Distribution bookings and passengers boarded.  EBITDA and operating income were negative in Q4, reflecting the impact of the COVID-19 pandemic. The year-over-year decline in revenue was partially offset by declines in Travel Solutions incentives expense and Hospitality Solutions transaction fees due to lower volumes, headcount expenses due to cost savings initiatives we have already executed, and technology expenses due to the lower transaction volume environment. Net income and EPS were also negative in the quarter, driven by the decline in operating results and increased interest. Tax expense was higher than expected in this quarter. In addition, free cash flow was negative $200 million in the quarter. As expected, our free cash flow was reduced by approximately $15 million related to severance payments. Excluding this, our monthly free cash flow was negative $62 million. Looking ahead to 2021, we have approximately $20 million of severance payments remaining from our 2020 cost savings actions. We expect the first quarter to be the lowest free cash flow quarter, primarily due to the timing of large working capital items that will have offsetting benefits over the rest of the year, as well as paying out majority of the remaining severance balance. We expect our cash burn rate to improve sequentially throughout the rest of 2021. In 2020, as described, we took swift and decisive actions early in the crisis to reduce costs, increase liquidity and extend our debt maturities. In total, we strengthened our liquidity position with over $2.1 billion of additional capital in 2020.  Through our capital market transactions, we raised $1.1 billion from the issuance of senior secured and exchangeable notes; we raised $598 million in net proceeds from our common stock and mandatory convertible preferred stock offering; we drew down on our revolver in the amount of $375 million; and finally, in the fourth quarter, we reduced our real estate footprint with the sale and leaseback of our headquarters buildings, resulting in net proceeds of $69 million.  This is in line with our new, “Work from Anywhere” program as we work to right-size our global real estate footprint. In addition to securing capital, we took several other actions to further strengthen our liquidity position. We implemented cost-savings actions with $200 million expected savings on an annual runrate basis. We refinanced over $2 billion of debt. We extended our debt maturities to 2024 and beyond. And we suspended common stock dividends and share repurchases.  As Sean mentioned earlier, we ended the year with a cash balance of $1.5 billion and have no significant near-term uses of cash. In 2020, the actions taken to improve our cost structure and balance sheet enabled us to continue our important IT investments. As Sean mentioned, we made considerable progress with our five strategic initiatives. This includes our technology transformation and modernization, which is expected to result in over $100 million of annual savings starting in 2024. We believe our strategic initiatives will strengthen our financial model, resulting in: larger addressable opportunities, more advanced product innovations, faster and more efficient sales cycles and product deployments, efficient infrastructure and unit economics, and Incremental revenue growth and higher margins.  We aren’t pursuing these initiatives alone. This is all supported by our strategic partnership with Google. Ultimately, we believe our investments will unlock the ability for us to come out on the other side of this crisis with a larger revenue opportunity and lower costs. Sean, back to you.
Sean Menke: Thanks Doug. I hope you all have found our remarks helpful in understanding how we have managed the global pandemic thus far and what we see is the future. The road to recovery will be bumpy. We are a global company with global customers and recovery in each region of the world may be a little different. Through our data, we believe there is pent-up demand to travel again.  However, we have also seen increases in reported COVID-19 cases lead to more travel restrictions and put downward pressure on the travel recovery. We are hopeful that with the rollout of vaccines and continued vigilance, confidence will be restored and travel will rebound. In summary, we remain focused and confident in the future, and feel competitively well-positioned post-COVID-19. I want to once again thank my Sabre teammates around the world for their dedication to serving our customers, shareholders, and each other during this difficult time.  And with that, I would like to go ahead operator and open the call for questions. 
Operator: [Operator Instructions] Our first question comes from Josh Baer with Morgan Stanley. You may proceed with your question. 
Josh Baer : Thanks for the question. This is for both Sean and Doug. I imagine for many months in 2020, some of your highest priorities were around getting through the crisis, focusing on employees, or liquidity, raising capital, pushing out debt maturities, cutting costs and then even the Google partnership. And I am wondering, like at this point, it seems like most of these areas are stable.  And it seems like there is a shift taking place where you can focus on other initiatives. I am wondering, like, does that resonate with you the shifts and I guess, like what of those five initiatives or others like, where are you now spending most of your time and focus? 
Sean Menke: Yes, Josh. I’ll take that and let Doug add on. But, you are spot on it. If you go back to 2020, the major objective that we had is to make sure that, we did ensure that we have plenty of runway to manage through an extended sort of global recovery. And what we also had in the back of our mind is maintaining our focus on our technology and capabilities, and the one thing that we haven’t lost sight of is we, and this is on a pre-COVID basis, we believe strongly in the technology needs that we are driving.  I do believe that we are going to see COVID driving accelerated changes in the ecosystem. So, and I do believe technology will be a catalyst and I think we are well positioned. So, when you look at it relative to what we have done with cost structure, what we have done with liquidity, pushing out the debt maturities, I am laser-focused on what we are going to be doing post-COVID.  And what I feel really good about is there was a lot of work that was done by the organization essentially organizational alignments, streamlining expenses, that allow, really the team to focus on the day-to-day business really in 2021 and 2022 and there is group of us we are very focused on the next decades to come, because we believe that the initiatives that we put forward are very important and the reason I gave you some of the data points that relates to the initiatives is they are essentially important in the conversations that we are having in new deals.  They are very important as it relates to, what I’ve talked about in hospitality. So, as I look at it, we’ve laid the foundation really well. We’ll continue to monitor it, because as we know, it’s going to be a choppy recovery. Well, that again, I am looking forward to continuing to drive in the future with this organization. Doug, I don’t know if you have anything else? 
Doug Barnett: Yes, Josh, I might add, even though it’s not a strategic initiative, but obviously the opportunity we did do during 2020 was to combine and create the GS organization. And so, one, my focus right now is to make sure that I have the people, processes and systems in place to support not only that restructuring, but also these five initiatives.  But there will be changes in some of our systems and some of our processes that support these initiatives. So, you are absolutely correct. I turn more to this now in the future than kind of just making sure and show enough – and making sure we get through this pandemic. 
Josh Baer : Great. Thank you. 
Operator: Thank you. Our next question comes from Matthew Broome from Mizuho Securities. You may proceed with your question. 
Matthew Broome : Thanks very much. So, in terms of the Google cloud migration, you mentioned the target of moving at least 15% of your mid-range workloads to GCP this year, I mean, is the environment now sort of fully set up? And when do you expect the start up of the workloads to be fully migrated? 
Sean Menke: Yes. So, and I mean, I’ll have Dave Shirk jump in on this, as well. The important thing that has been taking place really with in 2020, 2021, as you’ve heard in my remarks is really setting up the landing zones around the world and there is a lot of essentially migration of data that will be happening. Dave, if you want to get into maybe a few of the specifics that are taking place, it will be helpful for Matthew, I believe? 
Dave Shirk: Yes, Matthew, the answer to your question is, yes. We’ve been setting up the development certification customer roll out environments requests in the United States and Europe. So that piece is well underway. We are also moving now interconnected all the networking and the networking for high capacity, capability exchange to take place around that. This is off setting up the development in build out areas.  We will move 15% of our mid-range systems, which is about 250 production applications. We’ll start that process. We expect to have the air shopping for Travel Solutions also moved to the Google platform sometime in 2021. And then, by I will take some steam from my colleague, Scott Wilson hearing this on the call our Hospitality Solutions team will also be going live in production.  They have their development and chest environment set up and so, that’s also planned for this year. So, this is kind of a broad range of the things for this year with the Google platform. 
Matthew Broome : Okay. That’s definitely helpful. Thanks. And then, regarding the update on your strategic initiatives, do you anticipate R&D spend increasing from these objectives or do you already have the resources that you need? 
Sean Menke: Yes. I’ll let Doug comment on that, but it’s really within the envelope that we have been talking about and managing too. So, Doug, you can provide a little more color? 
Doug Barnett: We have all the resources we need right now between us and our providers. So, we are in good shape and that’s including our cost runrate right now. 
Matthew Broome : Okay. That – I appreciate that, Doug. And assurance to be the last one, and just in terms of air booking fees, do you still need to get to 70% of 2019 levels to get to initial free cash flows? 
Doug Barnett: No, what we’ve done is, given – look at where we exited our cost structure, as you are actually correct, before – it depend on what it was between business and leisure and international and domestic, because right now, those are running a little negative to what we’ve typically seen. Right now the goalpost if you were to use to be 60% to 70%. They are now more like in the 56% to 67% range. They’ve improved by 3% to 4%. 
Matthew Broome : Great. Thanks very much. 
Sean Menke: Yes, maybe to add on that, Matt, because you probably dropped, but it’s a testament to the organization and just managing cost, getting more cost docs that is cost-driven. The other thing I think is also helpful for people to understand is, sort of what we are seeing on the domestic to international mix, historically, on a pre-crisis basis, that has been 45% to 55% international and what we have begin to see is that is, in Q2 of 2020 where that is 70:30 mix domestic to international.  It has been improving, because when you look at it, the international is more profitable for us. In the fourth quarter, it was a 60:40 mix. We’ve also, on the Leisure corporate basis have seen some trending in the right direction too.  Historically, that has been 40% to 45% on a pre-crisis basis leisure, 50% to 55% on corporate. And again, in the Q2, we are sort of 75, 25. In Q4, we are 70, 30. So, these are small incremental improvements that we actually see taking place. 
Matthew Broome : Okay. Thanks again.
Operator: Thank you. [Operator Instructions] Our next question comes from Jed Kelly with Oppenheimer. You may proceed with your question. 
Jed Kelly : Hey. Great. Thanks for taking my question. Just looking how your Solutions bookings and your GDS bookings are trending versus some of like the TSA data, it seems like the GDS is sort of lagging some of the overall industry recovery.  But the solutions is kind of growing more in line. So, as we kind of go the next 18, 24 months, you’d sort of expect that GDS to lag in your Solutions segment to become more important. And then as a follow-up, where are you in terms of solution contracts over the next, call it, 24 months? 
Sean Menke: Okay. So, Jed, let me take the first part of that question. And then I’ll let Scott and Dave talk about it from a contracting perspective. You are correct, when you look at it, and I look at sort of the CRS bookings, as well as the – in the PD bookings which are the airline IT. You are seeing that. Part of the thing that we are seeing as it relates to GDS and we’ve talked about this in the past, is because there is more of a leisure mix.  You are finding that, more of that is going to airline.com. And as you go back to what I was just referencing and as it relates to domestic and international and leisure and in corporate, as we see the mix begin to normalize back to pre-COVID levels or pre-crisis levels, I think you’ll begin to see that gap close.  So, as we talk about, because we have a large book of our business in the GDS’ business related that goes through the GDS, but because the leisure component you are finding that you are going to have that mix issue that we are seeing right now. So that is the response to your first question.  As it relates to contracting, Scott, why don’t you go first and then, Dave second? 
Scott Wilson: Thanks, Sean, and hey, Jed. We actually, in addition to the two deals we just announced this morning, we actually have seen some of the strongest pipeline or lots of engagement come and our price hoteliers that we have seen in our history, I think a lot of that goes through the fact that this nexus platform is now one of the most capable CRS platform in the market, but the strength of our distribution network is really important right now.  And as hoteliers looking at recovery, that’s going to be a really key factor in their own recovery. So, we are very excited about the next 24 months and we hope to have more to share as this progresses forward. 
Dave Shirk: Jed, to as of the date add to what Sean and Scott just talk through, as you know, we talked about this for several years. Over the last three years, we’ve had a pretty major renewal cycle on our IT solution set. That continues to bode well for 2024 and 2025. The other thing, as you see here is we had some pretty sizable renewals, whether that was WestJet or Lion Air, or Comair, those were all strong renewals going forward for many years.  And then, our operations wins and portfolio pieces with the likes of Jetstar, Aeroflot and Endeavor and NAYSA, those were all nice renewal cycles or wins that took place within the quarter. So, we navigate through the recovery cycle, but right now, we always have a handful of renewal cycles that we are working. But over 80% of our contracts should then renews through that 2024, 2025 period. 
Jed Kelly : Great. Thank you. And then, just one more quick modeling question for Doug. When we are looking for next year, I guess, you do have the best visibility on expenses. I mean, are the 4Q expense numbers will fit SG&A and tech cost? I mean, are they good baseline to model for us?
Doug Barnett: Yes. They are good baseline to model up. Obviously, these are merit increases that will come, but there is a – they are a good base. I think we should make sure, you capture is the tax rate going forward, versus in this situation, our benefits or losses, you should assume a tax rate of 5% to 10%, not, not 20%. 
Jed Kelly : Thank you.
Operator: Thank you. Our next question comes from Victor Cheng with Bank of America. You may proceed with your question. 
Victor Cheng : Thank you for taking the question. Just two from my side. I think about the conversation on the cost savings of $100 million for 2024, how would you think about the savings between now and then? Are they generally proportionate to the workload you migrate over to your cloud?  And then, the other question is, of the approximately $200 million 2020 cost savings that you have, how much of that will be continued forward to 2021? Just thinking about the temporary headcount savings that you have, how much of that will recover and when do you see that recover? And that’s it from my side. 
Doug Barnett: Okay. Maybe let me take that – your two questions. One, with regard to the last quarter, we talked about the incremental $100 million savings and how that would play out. It’s really no difference in what was presented last quarter, mainly the majority of that $100 million will be realized in 2024 and beyond. Some will come in there around, but most of it will come – the majority of it will come in 2024 and beyond.  With regards to the actions number, you are absolutely correct. The actions that we took in 2020 generated savings of $275 million in 2020. However, you are right. Some of those items that you referenced will not continue into 2021. What will continue into 2021 and beyond is the headcount savings of $175 million and then some of the benefit from the DXC contract, the $25 million. That $200 million will continue in 2021 and beyond. 
Victor Cheng : Got it. Thank you. That’s great. 
Operator: Thank you. [Operator Instructions] Our next question comes from Neil Steer with Redburn. You may proceed with your question. 
Neil Steer : All right. Thanks very much. And I got two quick ones. One is a follow-on from the last answer and question. I hear if the headcount reduction is 175 in your DXC savings is 25. I presume as we gain some recovery say, through 2022, 2023, 2024 and so forth, you would naturally expect principally in that – in the headcount.  So, is it right to assume that was to get an initial direct benefit of the 175 on the headcount side as the business recovers and revenues expands. That’ does go, but obviously there will be some operational leverage there, which we have to take into consideration. 
Doug Barnett: Well, I’ll take that and then Dave, jump in on if you’d like. I think, that the headcount that we are growing, there will be modest growth as well we’ll just try a bit, but nowhere near proportional to what the top-line will go. I think they are comfortable there we get some leverage benefits from the increased revenue streams.  I think netted with the new members. We capture a workforce so if you continue to invest in the tech transformation we will touch on that. So, it’s now like, we are going to have to continue to go that past just for that initiatives. So, there will be modest growth. But they will be proportionate to the top-line growth. 
Sean Menke: Yes. Let me jump in, Doug on this, I think it’s important to you when you look at it and that’s where that was going to relative to what Doug have stated is, when you think about the way that we have managed through COVID-19, it was one that, yes, we did take some actions as it relates to cost reductions. Some of the things that Dave Shirk has led within Travel Solutions, has really streamlined that organization.  I think that we are finding on the efficiencies of reduced headcount in some portion because we did have to look at some of our Sabre team members. But what I can tell you is the way that organization is running, I think is a lot more efficient. So, I am happy you’ll get about that.  The other thing is, we are very careful in the balance of the number of employees that we let go, because we knew that there is some number of things that we needed to get accomplished, even though bookings are down, transactions are down, the level of engagement as you would imagine with the customers around the world is very high, so sales force and the people that are focused on that are there as we focus on the technology piece, they continue to move forward.  So, as Doug articulated, I think I feel good where we are right now. There is always going to be a level of additional headcount that will be added in. But it’s going to be really based on what the recovery looks like. 
Neil Steer : Okay. Thanks. And the other question has more to do with the structural shape of the market in the future. Are you expecting and anticipating the material shift from sort of the traditional travel agency community to more of the OTA in terms of the booking mix?  Or are you expecting when we get back to the fact to get back to the normalized market situation, the proportionate of bookings from OTA, post-pandemic is going to be where the booking mix rolls for OTA pre-pandemic. And I am thinking they have more to do incent with the OTA are able to negotiate on the unitary basis? 
Sean Menke: Yes. Good question, Neil. And it really does get into what is the shape of recovery and I think, the way that I look at it is listen, to be fair, when you really look at it from an airline perspective, a hotel perspective, and then you look at it from an agency perspective, be it OTA or be it brick and mortar TMCs, when there is less essentially demand that’s out there, there is going to be probably some rationalization that’s taking place.  You would believe, you go down the path and we are really seeing this in the numbers that OTA has recovered faster than the TMCs have recovered. And in doing that, that’s Leisure-driven. I think it’s all going to be based on the mix of recovery and as I stated, Leisure will be leading that recovery and I think business will be lagging the recovery.  So, when you think about it, bookings via OTA will probably be ahead and continue to be ahead of what we are seeing on a TMC basis. When we look, probably two to three years in the future, and I get asked the question often about business, business mix, I do think you have to look at it relative to duty at care and how organizations are essentially going to allow employees to travel.  The first step of that is offices actually have to open for people to travel to. I think they are going to see domestic travel or short haul travel be next and then it’s going to be the international side. So, I do think it’s going to be a longer period. But, specific to your question, Neil, I think you are going to see OTA leisure recover faster than the TMC side of the equation. 
Neil Steer : So you are optimistic that longer term, if we say longer term, you think there is not going to be sort of a significant structural shift if everybody, say, if once they get international travel back? 
Sean Menke: I don’t and I go back to – and I’ve said this a couple different times in previous calls. I think you do have to go back and look at history and you look at 9/11, you look at – at actually what took place in the financial crisis. This is bigger than those two to be fair. But there was also the comment that we are not going to see a strong recovery in business than we did over a period of time.  So, I think, everybody just have to be following it a little cautious and calm about recovery and what it looks like over a longer period of time. 
Neil Steer : Thanks very much. Thank you. 
Operator: And your next question comes from Victor Cheng with Bank of America. You may proceed with your question. 
Victor Cheng : Hi. Sorry. Just one more question from my side. I am just thinking about the – obviously, the IT capabilities that you are spending on, be it the Google partnership and on the Sabre Smart Retail Engine and Dynamic Availability or NDC, what are you actually hearing from clients on what they are interested in most? I guess, if you will, what is at that top of the party on IT spend if and when the volume it covers? 
Sean Menke: Yes. There is a lot in that question and I’ll let Doug talk about the cost component of this. A big part of everything you just walk through really does go back to the strategic initiatives and what’s taking place. And if I look at it relative to the retail engine, I look at it relative to things that are taking place with Google.  Each and every one of the engagements that is happening on the Travel Solutions side, as well as what’s happening in Hospitality, these are key things as it relates to the opportunities, one, to retain business, but also win business going forward. And there are important things that we weren’t engaged in these things. I would it would put us at a disadvantage in the marketplace and everything that we are focused on is the transformation.  So, from that perspective, I feel good with what we are doing. They are top of mind for our customers. That’s why I stated in my prepared remarks as I was walking through the initiatives, what’s happening essentially as it relates to commercial negotiations. And I would say, it’s very high, because there are those that very focused.  They’ve done a lot of work as it relates to their own balance sheets. And they are focused on the opportunities they see going forward. So, I am encouraged by those discussions that are happening. Doug, I don’t know, if you want to comment on the cost side, but it really is within the envelope that we talked long. 
Doug Barnett: Yes. It’s within – but I think you are talking about, you are seeing interest in the customer base is, I think that Dave and Sean are talking about, vast interest, lot of commercial discussions going on with both airlines and hoteliers are right now, they can come out to be more so. Yes. They are top of mind for customers. 
Victor Cheng : Got it. Thank you. 
Operator: Thank you. And I am not showing any further questions at this time. I would now like to turn the call back over to Mr. Menke for any further remarks. 
Sean Menke: Great. I would like to thank everybody for joining us today on the update of the 2020 results, but also talking about how we are looking at 2021 and beyond. I do want to thank my Sabre team members around the world. I couldn’t be more proud of an organization of what they’ve actually gotten accomplished in a tough period of time.  They’ve been very professional working from essentially different locations throughout the world at home as many of us have. As I sit here, as we’ve entered 2021, I also look at it and what we have accomplished really over the past three to four years, and there has been a lot of discussion and lot of questions relative to not only just how we are managing the business, but what we have done from positioning ourselves financially.  And Doug and team have done an enormously – an amount of work that have allowed us to be in a position that we can lean into the opportunities. And I think that’s where I’d like to close is, in running this organization for the past four years, we are entering 2021 probably with the best pipeline that I’ve seen in an era that there is a lot of headwind.  So, again, thank you for taking the time to get the update from Sabre. I look forward to talking to you in the future. 
Operator: Thank you. Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.